Operator: Good day, ladies and gentlemen, and welcome to the Ideal Power Third Quarter 2018 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Chris Tyson, Managing Director of MZ North America. Please go ahead, sir.
Chris Tyson: Thank you and good morning. I'd like to thank you all for taking time to join us for Ideal Power's third 2018 conference call. Your hosts today are Dr. Lon Bell, Chief Executive Officer; Dan Brdar, BTRAN Chief Commercial Officer; as well as Tim Burns, the Company's Chief Financial Officer. A press release detailing these results crossed the wires this afternoon at 8:30 a.m. Eastern today and is available on the Company's Web site idealpower.com. Following Management's prepared comments, we will open the floor to questions for those of you who are dialing in for today's call. Before we begin the formal presentation, I'd like to remind everyone that statements made on the call and webcast including those regarding future financial results and industry prospects are forward-looking, and may be subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the Company's SEC filings for a list of associated risks. And we would also refer you to the Company's Web site for more supporting industry information. At this time, I'd like to turn the call over to Ideal Power's Chief Executive Officer, Dr. Lon Bell. Lon the floor is yours.
Dr. Lon Bell: Thank you, Chris, and welcome everyone to our third quarter 2018 conference call. The third quarter of 2018 was highlighted by our largest installation in company history with BCI in China. This high-profile demonstration project is now being commissioned, and creates the opportunity for additional solar-plus-storage installation in the region. Our BCI win represents our first large scale deployment of a solar-plus-storage solution in the Chinese market. We are encouraged to see a large international market such as China embrace solution utilizing solar-plus-storage. Our partnership with NEXTracker continues to move forward. And in October, we shipped our second largest single site installation in our history of NEXTracker for a SunDial Plus solution. During the third quarter, we commenced shipping in a new vertical EV charging for stability power conversion systems. We shipped additional systems, eCAMION for a network of EV class charging stations in Canada. In the same market vertical, we also shipped additional units to Coritech as their OEM supplier for their electric vehicle by directional DC chargers. Most notably, we shipped over 500 kilowatts of stability PPS for inclusion in Sharp SmartStorage behind the meter energy storage system. Unfortunately, due to a delay in timing of the NEXTracker project, the shipment was moved from the third quarter to October. And we will recognize revenue from this project in the fourth quarter 2018. This product delay was the primary reason for our lower sequential revenues in the third quarter of 2018. We expect similar revenue in the fourth quarter of 2018 with revenue growing in 2019. I'll provide additional updates on these customer activities later during the call. As a result of the slow and sporadic growth in commercial energy storage, we are focusing on tightly restricting our cash usage. We believe the right path in energy storage is the integration of our flexible PPSA technology into a full energy storage system with a focused approach to the market. We are in discussions with company that can either bring PPSA into their company as part of a fully integrated technology offering or working with parties that can provide nonrecurring engineering funding for application specific product to our customer. This effort is something that we have worked on and are continuing to develop. While we can't go into much detail, the last few weeks have proven to be productive in this front. We are looking forward to providing an update on this front in the weeks to come. Now let's discuss in more detail our power conversion system division. First, start with solar-plus-storage. During the third quarter installation was completed for the two-megawatt project I mentioned earlier with BCI and BCI is a global leader in mechanical construction, design, engineering, and global manufacturing. BCI is the engineering procurement and construction contractor for a high-profile demonstration project in China to integrate ideal power SunDial Plus inverters and then advanced solar-plus-storage solution into the first large scale deployment of its kind. As I mentioned earlier, this represents our first large scale deployment of a solar-plus-storage fluids in the Chinese market and we are encouraged to see a large international market such as China Embrace Solutions utilizing solar-plus-storage. We expect to provide additional updates on this project later this year as BCI is currently expecting to completing commissioning of the system in the fourth quarter. The successful commissioning of this high-profile demonstration project could lead to material follow-on purchase opportunity. In October, we shipped a 1.1-megawatt order from NEXTracker for a power plant at the Maharishi University of Management or MUM in Fairfield, Iowa, a state that according to the National Renewable Energy Laboratory has relatively high demand charges, typically above $20 per kilowatt. This project will represent the first large scale deployment of the NX Flow integrated solar-plus-storage system by NEXTracker. The project is expected to produce enough energy to cover nearly a third of the university's annual electric usage and we use peak shaving to significantly reduce month's utility bill during high demand time. Based on recent discussions with NEXTracker, the estimated installation timing of the large projects in their pipeline is generally early to mid-2019 and next subject is electric vehicle charging. During the third quarter, we shipped additional stability multi-port power conversion systems to eCAMION for use in their electric vehicle fast charging stations. They will construct a network of 34 stations across the Trans-Canada highway beginning in 2019. eCAMION is a privately held provider of modular smart energy storage solutions that finds innovative uses in community storage, EV charging, auxiliary power unit and storage for renewable energy projects as well as in custom applications. The project is designed to encourage the adoption of electric vehicles and Canada entails and investment a $13.6 million and is being partially funded by a $6.2 million repayable contribution from the National Resources Canada under the Canadian Energy Innovation Program. We also shipped additional units to core tech services as the OEM supplier of power electronics for their product line of bidirectional DC chargers for electric vehicles in the United States. Coritech, VGI 30 charger is compliant with both the SAE CCS North American charging standards as well as the corresponding standards in Japan with its bidirectional charging capability the VGI 30 allows an electric vehicle to provide reverse power flow back to the grid, also known as vehicle-to-grid or V2G. Turning now standalone storage, moving to standalone storage we shipped 500 kilowatts of our power conversion systems for sharp standalone storage installation. We are encouraged by the increased pace of installation and start -- and sharp storage business that began with the 1.1-megawatt order for a solar-plus-storage project in California School District that we receive late last year. Smart storage behind the meter energy storage system reduces peak demand usage for commercial and industrial buildings. Sharp's energy system business was previously rated by Navigant research as a top 10 distributed scale energy storage system integrator for the U.S. market and it has an active project pipeline in excess of 60 megawatts of commercial and industrial storage installations in U.S. We see continued evolution of business models and participants, as system integrators respond to market conditions. The most recent example of this is the purchase of sharp smart storage by Manta Energy. Manta Energy formally fluidic energy designs, manufacturers, and markets energy storage solutions globally, providing reliable backup power to critical wireless infrastructure roll electrification, microgrids, and distributed commercial and industrial energy management systems, adding Sharp sizable on world-class energy storage business to the Manta energy service portfolios and important step in their mission to accelerate the worldwide transformation to plain reliable energy to intelligent energy storage solution. The acquisition of Sharp's energy systems business and the smart storage brands immediately create a foothold for Manta energy in the U.S. particularly an important California market. Manta energy will continue to promote the smart storage system, the technology and software capabilities. So the smart storage products are complimentary to Manta energy proved -- proven technology and product and telecom and microgrid markets and enable them to become a leader not only in behind the meter applications, but also in the broader stationary energy storage market. Sharp is what's been one of ideal customers longest repeat customers and we look forward to building those relationships and those efforts to continue with the team at Manta energy. In addition, we have now shipped over one half of a megawatt of our stability PCS this year to Amber Kinetics and International Energy Storage Company focused on flywheel technology. Amber is a new customer for us, this new vertical is another example of versatility for our technology paired with other storage technology. We will provide more details on Amber Kinetics once we begin commissioning system, later this year at the project side from the Philippines, Nigeria, Quebec, and Taiwan. While recent project sizes have grown considerably. The market for our sub systems for commercial energy storage has not developed to the point where it is producing regular order flow. It is still a lumpy business for us. Conclusions on PPSA, the BCI and NEXTracker installation, along with a previously announced 35-unit order from Sharp for a school district in California, we will provide valuable operating data from large multi-unit sites that cannot be replicated laboratory in the laboratory and file environment. With installations in China, St. Croix, Africa, Canada, and the other previously mentioned sites. Our PPSA, these products are offering in a wide variety of climates, grid conditions and applications from standalone energy storage, to solar-plus-storage to microgrids. This diversity of demand real-world operating conditions is helping to evolve our product designs to mature our new technology. In terms of our PPSA Patent Estate, we now have 43 issues. PPSA Patent with five of those patents issued outside the United States, including coverage in China and Europe. In addition, our pending PPSA patent for a portfolio includes nine patent filings and will potentially provide coverage in India. In conclusion, the third quarter represented a quarter of active exploring of new business model that incorporates our PPSA technology into an integrated storage system offering with a broad market focus. This will require a partnership with another organization to execute and we are pursuing discussions with multiple parties. I'd like to now hand the call off to Dan Brdar to discuss our highlights from our B-TRAN division. Dan?
Dan Brdar: Thank you, Lon. Our B-TRAN division made notable operational progress highlighted by producing wafers to our collaboration with the university wafer prototyping facility. In addition, we upgraded our wafer testing equipment for our Austin, Texas engineering labs to test these prototype wafers and second-generation prototypes being produced by our commercial fabrication partner. I'll drill down more on these items shortly, but I want to quickly provide an overview of our disruptive solid-state switch technology B-TRAN for those who are new to the value power of storage. B-TRAN is a bidirectional low loss power switch that offers the potential for reduction in conduction and switching losses of 50% to 90%. Depending on the device design and configuration, today, we have produced two double sided versions of the device. The first version and the focus of our current efforts is what we refer to as the standard B-TRAN, it's a thicker double side die with fewer features, making it simpler and quicker to fabricate requiring about one-third of the manufacturing process steps as the full feature device. Since it is thicker, it also does not require the complex wafer bonding and de-bonding process steps to handle and process both sides of a very thing wafer. The standard B-TRAN has the potential to reduce switching and conduction losses by more than 50% compared to conventional power switches. This level of performance was validated, and our most recent testing. The second version is the full feature B-TRAN, which is thinner with more complex features and has the potential to reduce switching and conduction losses by more than 90%. Both B-TRAN designs have addressable markets for the respective performance levels, and both versions can be made with conventional silicon manufacturing fabrication equipment. Based on our manufacturing success and early performance data on the standard B-TRAN, we are already partnering with third parties to pursue government funding for further B-TRAN development and demonstrations and critical applications to showcase its performance. Increased energy efficiency and advanced semiconductor development are considered critical objectives in the core R&D programs within the Department of Defense, Department of Energy, National Science Foundation, and other related agencies. Ideal Power in collaboration with application partners can bring a unique high-performance solution that addresses many of the efficiency and semiconductor development objectives for these federally funded programs. In addition, B-TRAN leverages the existing semiconductor infrastructure of silicon power switches, providing a clear path to technology commercialization and a area where many government funded development programs stop. During the quarter, we collaborated with other organizations to miss, to submit the first of what we expect to be several multi-million-dollar proposals intended to demonstrate the performance potential with B-TRAN and high value applications we are specifically targeting applications where B-TRAN can become an enabling technology to address power control and conversion applications not satisfied by conventional power switching technologies. But it's too early to tell what level of support we can capture. Our efforts are raising the awareness of B-TRAN to potential uses of the technology and creating an ecosystem of application partners and potential market channel partners. Also, our collaboration with the university wafer prototype facility has curated and double-sided wafers that will undergo testing in the coming weeks. These devices include a variety of die designs enabling us to explore variations in the B-TRAN design and assess their manufacture ability and impact on device performance. We also initiated production of larger quantities of wafers at our new domestic semiconductor fabricator for our standard, B-TRAN design incorporating the learning from earlier wafers produced at the university prototype fabrication facility. We did this to enable us to complete prototype fabrication runs more quickly by using smaller diameter wafers for our development efforts. The use of smaller wafers avoids the complexities of handling and processing both sides of thin, large diameter wafers. This result in faster production runs, much fewer manufacturing, processing steps, and most importantly, significantly lower technical risk. In addition, in preparation for being able to evaluate larger volumes of prototype devices, we also upgraded our equipment to be able to conduct automated wafer testing in our engineering lab. This equipment will allow us to test a full wafer of B-TRAN dies of various designs prior to taking further steps in the manufacturing, packaging, and device testing process. This will shorten the time it takes to get device manufacturing and initial performance data into our development activities, shortening the longer-term development process. With respect to our B-TRAN Patent Estate, we now have 41 issued B-TRAN patents, with nine of those patents issued outside of the Untied States, in China, Europe, and Australia. Our pending B-TRAN Patent portfolio includes approximately 35 patent filings, and will potentially provide coverage in Japan, South Korea, and India. In summary, we continue to see significant commercialization potential in our proprietary B-TRAN technology. We expect to have laboratory engineering samples of packaged devices, complete with the device driver, with which we will perform more comprehensive characterization, and we'll begin sharing this information with target customers and potential strategic partners for their evaluation in late Q4 or early 2019. I'll now turn the floor over to our CFO, Tim Burns, to discuss the financial results. Tim?
Tim Burns: Thank you, Dan. I will run through the third quarter 2018 financial results. Revenue for the third quarter was $300,000, a decrease of 45% compared to the preceding quarter, and down from $400,000 in the third quarter of 2017. This decrease in revenue in the third quarter of 2018 was primarily due to the rescheduling of a large SunDial Plus shipment to October, and lower sales of our Stabiliti product as we were faced with supply chain delays caused by extended wait times for electronic components. Gross margins were negative 61% in the third quarter of 2018, compared to positive 6% gross margins in the third quarter of 2017. In the third quarter of 2018, gross margins were impacted by an unfavorable adjustment to the company's product warranty accrual, and higher component costs partly due to tariffs. Research and development expenses decreased 21% in the third quarter of 2018, to $900,000 from $1.1 million in the third quarter of 2017. The decrease was due primarily to the impact of cost reduction activities, including lower personnel, development, and certification costs, as well as the timing of semiconductor fabrication expenditures. For the balance of 2018, we expect a modest increase in research and development spending on the B-TRAN, and relatively flat research and development spending on our more mature PPSA technology. SG&A was flat, at $1.2 million in the third quarter of 2018, as compared to the third quarter of last year. The impact of cost reduction activities was offset by higher legal fees and consulting costs due to the evaluation of strategic alternatives. We continue to see the positive impact of the cost reduction program we began implementing in the second quarter of 2017, accelerating our path to cash flow breakeven. As noted, the cost reduction program aligns with the product roadmap simplification efforts that we communicated in 2017, including our focus on our 30 kilowatt product families. The benefits from this cost reduction program were demonstrated again in the third quarter, as we reported a cash burn of $1.4 million, 13% lower than during Q3 of 2017. Operating expenses for the third quarter of 2018 totaled $2 million, yielding a net loss of $2.2 million or $0.16 per basic and fully diluted share. On September 30th, our balance sheet included $5.5 million in cash and cash equivalents, and no debt. In summary, we experienced a low quarterly cash burn rate of $1.4 million due to aggressive cost-cutting initiatives. Cash used in operating activities for the nine months ended September 30, 2018, was $4.3 million, compared to $5.9 million in the nine months ended September 30, 2017, a reduction of 27% year-over-year. The combination of the impacts of our cost reduction plan, continued, strong cash management and no debt provided Ideal Power with a stable financial runway well into 2019. I will now turn the call back over to Lon for closing remarks. Lon?
Dr. Lon Bell: Thank you, Tim. To conclude, the B-TRAN division is progressing to having prototype devices available for customer sampling. And in the PPSA division, we have entered into strategic discussions which utilize our PPSA as part of a fully integrated system offering. We believe the level of interest is encouraging, and look forward to communicating additional details in the coming months. At this time, I'd like to open the call to questions from our listeners. Operator?
Operator: Thank you, sir. [Operator Instructions] We'll take our first question from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much. Guys, can you give us a sense of how long these strategic discussions have been underway, just wanted to get a sense of maturity on that, and how quickly something might come to fruition?
Dr. Lon Bell: We've had strategic discussions underway for about two-and-half months at this point.
Colin Rusch: And are you getting to the point where you've got real plans in place that you're discussing or really a more, I guess I would call it, more in the abstract about potential collaboration?
Dr. Lon Bell: I think it's a broad range. Certainly we have some -- we have at least one discussion that is fairly far along. And we have others that seem to be coming to us that are in very early stages. So we have quite a mix.
Colin Rusch: Okay, great. And then in terms of the monthly cash burn, appreciate with happened in the third quarter. Where are you guys at right now in terms of cash out the door on a monthly basis?
Tim Burns: So, it's still roughly $450,000 a month. And that's been pretty consistent throughout the year. There's timing that bounces that around, but we're through nine months at $4.3 million, and if you just do the simple math there, it's in that ballpark.
Colin Rusch: Excellent. That's super helpful. Thanks guys.
Operator: We'll take our next question from Craig Irwin with ROTH Capital Partners.
Craig Irwin: Good morning, and thanks for taking my questions. So, Lon, can you maybe share with us some of the lessons that you've learned from the BCI project in China. Are there logistical considerations or project implementation considerations that maybe enhance your ability to execute on future projects going forward?
Dr. Lon Bell: Craig, yes. I think that there are several lessons that we have learned and are learning. What you mention, certainly Tibet has some interesting characteristics. First of all, they're quite important and new to us logistic characteristics, especially since that's our largest order. Second of all, it's high elevation. This creates certain differences in the operation of electronic equipment at higher elevations. Some of the properties of the air are different enough that the units are exposed to that it changes withstand voltages and other internal properties of the electronic circuit. Fortunately, we have not had much problems in that area. There also is switching changes that are required because of the nature the particular location and the particular geometry that the customer has chosen to hook things up with. So there are several changes. I think another are that we are all learning from is how to do effective program management, because there is complexity associated with tracker installation, battery installation, our system installation, and software integration. So there has been quite a learning process. And fortunately, at this point, some of that learning has matured so that we think we have a good understanding of how to work in future projects to take advantage of this knowledge. I would say -- and there's also one more factor that's interesting. When we have single-unit installations it's very difficult to get robust statistical information on performance, also on the stability of our units and their reliability. When we have a large array, then it greatly helps, and gives us great insight into the strengths and weaknesses of our product, and it's allowed us to identify certain failure modes that we corrected rather quickly, but would not show up until, again, there are a large number of units out in the field. So it was quite a learning process for us, and a positive one.
Craig Irwin: Great, that's really good to hear. So I was hoping for a little bit more on the customer side on B-TRAN. How many customers do you expect to move towards potential bench testing and preliminary product designs with B-TRAN? Is this something where we could see mockups or, let's just call them, prototypes early next year? Is this something where we could see a relatively quick adoption in the power electronics industry or is this something that you think will have a little bit more of a protracted timeline for potential revenue generation.
Dr. Lon Bell: I'm going to let Dan answer that question.
Dan Brdar: Yes. I think the rate of adoption is going to vary a lot customer-by-customer. One of the things that we're doing is as we look to kind of how wide-bandgap materials, like silicon carbide devices and GaN devices in particular have gone into the market. One of things that I think has really slowed their uptake, aside from just the difficulties of working with wide-bandgap materials is they were coming out with discrete devices, and we have chosen deliberately not to do that. We're going to actually bring an integrated power module where it's the die packaged for thermal management with the device driver. Because that makes it much simpler for people to evaluate, people don't have to come up with their own driver designs. From a lot of the customer discussions that we've had with potential partners, it's been a clear message that people want to get that integrated device. And we've already been designing the driver and testing it, and getting the packaging designs done. So we think we're listening to those customers. We cant provide much color on them yet because really, for us, the important thing is getting devices in peoples' hands here in late Q4 and early Q1 of next year so that they can actually see the value that the technology brings through much lower switching losses, and the impact that it has on them for the thermal management being much simpler, lower cost, easier to deal with. Because that's really where it creates the opportunities to explore a variety of relationships with partners, whether they end up being just a channel partner or whether they are somebody who wants to put NRE dollars in for co-development on the application side, or collaborate with us, like some of the things we've already done where we are working with partners to propose government demonstrations of B-TRAN. So, I think there's still a lot more yet to come. And as we get through getting these devices in peoples' hands I think we'll have a lot more to say about who we're potentially working with, and what sectors of the market they're in, and why they view B-TRAN is important for their business.
Dr. Lon Bell: Because our technology is fundamental, and because it is novel in a very constructive way, we are in contact with companies in the automotive industry, in various other industries, certainly in the energy renewables space. And in some of the other key verticals that currently are served by IGBTs, we think our offering will be a very strong competitor to IGBTs which are the standard product that services $12 billion industry. And we think that some of the verticals are very appealing because of the differences in the properties and characteristics of our B-TRAN device compared with that of IGBTs.
Craig Irwin: Great. Congratulations on the progress, and thanks again for taking my questions.
Operator: We'll take our next question from Eric Stine with Craig-Hallum. Please go ahead.
Aaron Spychalla: Yes, hi. It's Aaron Spychalla on for Eric. Thanks for taking the questions. Maybe first for me on China, with BCI, good to hear about the commissioning there, can you just maybe talk about the size of the pipeline, and any thoughts on timing there?
Dr. Lon Bell: Our pipeline is rather short. In terms of the nature of the business sector that we're in, the small C&I space, and the projects such as what we have with BCI, the companies tend to come to a decision and then want quite rapid action now, and response. So the pipeline is one of the things that we struggle with, and it's throughout the industry, it's not just us, in that the pipeline is quite short. So while we have many opportunities, and many opportunities to quote, those spread out over a fairly long period of time. Where we do have greater visibility is with particularly customers that service many smaller companies, such as Sharp, where their product offering is something that they are beginning to see a dependable flow of business, and therefore can work with us to establish a more uniform flow of product. That is not true when the projects are larger, and in which case they tend to be lumpier, and there's a project released and it could be quite infrequent, and the timing is not very certain. So it's a bit of a mix, but overall we are very much suffering from the lumpiness of the market and really a fairly short visibility for the future.
Aaron Spychalla: Understood. And then on Sharp, I mean you kind of talked about a 60 megawatt pipeline and like you were kind of saying starting to see a little bit more dependable flow of business. Is that something -- how do you characterize the timing of that kind of 60 megawatt?
Dr. Lon Bell: I'm going to let Tim answer that because - Yes.
Tim Burns: Yes, so for Sharp, I mean, we saw a pickup of orders starting, I guess, in the second quarter largely for delivery in the third quarter into the fourth quarter, that Sharp was our largest customer in the third quarter in terms of shipments. I think there's been a little bit of a temporary slowdown in that just as they work through being acquired by NantEnergy. But I think it definitely is a very good opportunity for us longer-term. That 60 megawatt number is not a number that Sharp necessarily gave to us, it's a number that was in a recent article about the acquisition of NantEnergy is what their pipeline is in the C&I space, which is where they're using us as their supplier. So, we'll try to get some more visibility into that now that the acquisition is complete. But obviously, 60 megawatt pipeline is pretty attractive from our perspective in terms of the revenues that that could bring to Ideal Power.
Aaron Spychalla: Right, thanks for the color there. And then maybe last for me, just on NEXTracker timing, you kind of talked about early to mid '19. Can you just kind of talk about how the discussions are going there and maybe anything on the size of that pipeline since we last heard about it?
Dr. Lon Bell: I think with NEXTracker we do of course have very frequent discussions. I think the focus with NEXTracker is to make certain that at this point we have a robust product that is commissioned effectively. And I think that that will somewhat dictate how we go forward with them. I do think that as they are working to get additional projects, very hard, but as we've all seen, their process has experienced delays over several years now. So I think that their solution is very attractive to certain customers, but at this point acceptance is still, I'll use my word again, lumpy.
Aaron Spychalla: Understood. Thanks for taking the question.
Operator: We'll take our next question from Carter Driscoll with B. Riley FBR.
Carter Driscoll: Good morning. Lon, just take a step back into -- I know you gave quite a bit detail. Just at a high level, the strategic discussion, I mean, is it just a focus on PPSA, I mean is it companywide, are all options on the table right now in terms of your discussions?
Dr. Lon Bell: I think that we certainly will listen to anyone who has a good value proposition for our shareholders. Now, that's not quite an answer to your question, but I just have to say that, we do think of the PPSA is benefiting from integration with other components. The PPSA is part of the system, what we are experiencing is that that part of the system were very valuable and very flexible, really needs to be tied together with related systems and I'd just mention a couple, one is a battery with a battery management system, the other is an overall energy management system that talks between and activate certain parts of our system, the battery, the grid and the usage and organizes the flow of power among the various sources of power and users of power. That function plus thermal management associated with the battery and associated with the whole system encompassed a system, at this time often those are separate parts, now Sharp has an integrated offering, NEXTracker has an integrated offering but several of the other customers that we deal with do not have really integrated offerings. So what I think is an opportunity for us and for companies in the C&I space is to come up with an integrated offering attacking a particular market sector, so that the acquisition cost of the customer is reduced because the installation cost and the adaptation cost are considerably lower. So, one activity that we have is looking for partner that that can work with us where our technology fits well and which can integrate in such a system and offer it to targeted customers that can replicate that particular usage again and again throughout a large area and a large number of customers much have in the residential space, there is a product offering, there are several obviously but product offering that can be replicated from home to home and with very quick installation and very little complexity in terms of engineering of our various approvals and contractual arrangement. That model can need to be transferred into specific targeted sectors of the C&I space. So that creates an opportunity for us. As far as B-TRAN, at this stage we have several companies that are very interested in getting prototype parts in various verticals. Those companies, if we can deliver a product that they find attractive and we believe we can and that to later this quarter and early next quarter and early next year in Q1, we believe at that point the value proposition for our B-TRAN will be much better understood by our customers and we can begin to communicate it to a broader technology audience, we should get some of that from early adopters that we are selling and delivering prototypes to better parts that they can then integrate into prototypes circuits and laboratory environment and measure the differences and quantify the differences between the use of the B-TRAN technology and the use of the ITVT technology. We also of course are looking to get government programs which will do some similar things. We also are talking to universities where out of that will come background technology information and papers that will further provide information to the community, this mix for the B-TRAN will take some time and as that unfolds, then I think we'll be in a better position to have customers and the market understand the value proposition that our B-TRAN brings. So in the PPSA shorter term where the product is available and it's out there for integration with the related products that I mentioned and B-TRAN is best served in a very different way by taking it through the phase that we're going through now, so that there can be real world experience with the technology and that will develop them in the eyes of investors we trust and in the eyes of the user community, the value proposition for B-TRAN. So there are two quite different scenarios, so that's why we say in terms of our strategic initiative it's related to the PPSA, a very long answer to your question.
Carter Driscoll: No, no quite a bit of color, I really appreciate that one. Maybe shifting gears a little bit, EV charging you start about like how you see programs being funded just kind of like pushing forward the gives and takes versus subsidies available on a state level versus some of the public companies or private companies trying to kind of go alone and how you that evolving and whether you think that could be potentially bigger contributor over time?
Dr. Lon Bell: Tim, do you want to answer that?
Tim Burns: Sure. So the EV charging market is something that we just recently got involved with our stability to family of products. As of now with our two primary customers and we mentioned little bit on our last call, eCAMION which is out of Canada which is doing some work for the TransCanada Highway and then Coritech which does access some of the grant defense money to fund some of their projects on the EV charging space. Right now, I would say we're much more active in the product marketing side and market research side of the EV charging space, that is a space that we do not have that much experience with outside probably of our relationship with the Coritech, we know them for a few years. We did do a project a while back with a couple of years ago now with EVgo with one of our legacy products as well but we think there's a good opportunity for our power converters in both the fast charging environment but also when it's combined with buffer storage as well, so we think it's a natural fit and it's something that we'll be doing a lot more BD work on here over the coming months but it's still little bit early for us in that market other than our established relationships.
Carter Driscoll: Okay. And then maybe just last one for me, Lon you had mentioned Amber Kinetics, could you talk the high level about the pairing of your two technologies and where you think this could lead to over time?
Dr. Lon Bell: Yes, I think just to broaden it just very slightly, one of the qualities of our PPSA technology is that it has the ability to interface with various forms of energy. Production or storage and storage I should say, so for example in one case in Saint Croix, it's paired with a generator, a diesel generator as well as solar. So that is the pairing that has certain characteristics that frankly took some learning on our part but our characteristics are quite different from a battery and PV and our system delivering power to the usage. In the case of EV, there can be a combination and there are some subtlety as we mentioned earlier, EV is a storage system itself and electric vehicle has quite a bit of capacity, so in some cases there is the desire to take the power that has been stored in the EV in emergency or special circumstance return it to a home or grid. Our technology has capabilities to do those different transfer mechanisms and to do it rather simply without much change or addition that is mainly software. The other aspect of it I think that's important is that if we look at charging there is slow charging in the home, there is charging stand in industrial complex, there is fast charging and so we're looking and as Tim said, we are looking at different mechanisms for that now as far as Amber is concerned, their mechanism compete in some ways with other systems, so they compete with batteries and our system can adapt very well to their conditions and the various voltage changes, the various power changes associated with flywheel system. So when we look at it especially with Amber, we see that that is potentially really a brand new vertical. So we have the EV vertical which really could use some of the Amber technology over time, when we see the markets that they're focused on now and we see the opportunities, we see it as very complementary but we see our system as having the flexibility to work regardless whether it's a flywheel or a battery system. I want to little off track there but I just want to add a little color.
Carter Driscoll: Last question for me if I may, so given this internal review, is there fair to say that maybe some of your relationships are watching this closely to see how the direction of some of your potential that often might shape kind of check out going forward that their?
Dr. Lon Bell: I think you'd have to say it's always fair but I think that the business models for our space and the business model for the residential space is pretty well understood. There are obviously as a need for innovation and there are some terrific innovation going on there in terms of business models. Similarly on the very large scale, there is a utility scale there's the introduction of storage as a new component and that is being validated if you will like for example in back with us. And what that model may look like but in CNI space, the model is still evolving. We've seen companies come and go. We've seen various entities make approaches to it but that business model is still evolving and I think it needs to turn more in the direction that I mentioned previously.
Carter Driscoll: Okay, I appreciate that. Thanks, guys.
Operator: We'll take our next question from Sameer Joshi with H.C. Wainwright.
Sameer Joshi: Yes, good morning. Thanks for taking my question. Most of the questions have been answered but just a few clarifications on revenues and then on track, so you mentioned there were delays in the third quarter shipments which were shipped to knock over. So do you expect or should we expect the October revenues incremental to your expected 4Q revenues or 4Q revenues are for that pushed out as well?
Dr. Lon Bell: So in general, so Q4 is a little bit tough because of the holidays, so the back half of the quarter is relatively light to begin with. I think there in the prepared remarks we said revenue be can pretty close probably to what we see in Q3 could be up some but it's not going to be significantly up from the third quarter. We're expecting more of the growth to occur in 2019 and it is dependent as want that a little bit on lumpiness. So for instance you know obviously the second quarter with the BCI order we shipped was a big quarter for us based on just that one large project. So we'll continue to see things like that happening as well where large projects can have a significant impact as long as were relatively low revenue numbers.
Sameer Joshi: Understood, and then the 1.1 megawatt order that was shipped to Iowa was that revenue recognized on shipment?
Dan Brdar: It is and it was shipped in October, our FOB shipping point that we've record revenue upon shipment.
Sameer Joshi: On the B-TRAN I think that I heard two versions, two types of prototypes being developed one with the slightly lower efficiency losses compared to the other which is a fully integrated system. Was this an organic there that you progressed with because you could do it or was it that something that customers directed or customer desired?
Dr. Lon Bell: The two versions of the device really have different performance levels and as we have engaged with potential customers and learn more and more about their potential use for it we're realizing that there's sort of a spectrum of performance and devices that all have markets. So for example, the version that we are focused on making devices for sampling right now is what we call the standard B-TRAN which still has pretty significant performance improvement more than 50% reduction in losses. It has markets for power control applications, DC breakers a whole variety of things that don't require the both the features, performance level and the manufacturing complexity of the full featured device. So we've really focused on let's get the standard B-TRAN made. We know there's an immediate market opportunity for that. We know we have people that want to partner with us for that. And it's simpler and quicker to do turns of fabrication of that device. So that's really where our focus is for what we're doing here in the near-term. And then we'll come back to the more featured device because it'll learn from all the manufacturing lessons that we will have come through on making the standard B-TRAN.
Dan Brdar: One thing on the B-TRAN is to have a product that really helps customers. So it really gives them advantage and that is what we're calling a standard B-TRAN. It's also helpful for many users to understand what the limits of the capability of the technology are and that's the other version that we have done some characterization and evaluation of. So if we have a product then we can say how much headroom we have to take the product and make it competitive and more competitive over a multi-year period of time. We did not talk but of course that since it is architecture a design, it can be made from other materials as well. So it could be made over time not now because we have to walk before we run. It could be made from silicon carbide which would substantially change the performance yet again. So there is a roadmap of performance and it depends on cost, maturity, particular application and the ultimate capabilities for the long-term competitiveness against technologies that are being developed or could be developed elsewhere. So I think that when we look at the B-TRAN we see that it should be sustainably competitive and offer advantages against what we know that people are developing or have developed at this time.
Sameer Joshi: Yes, I did not know when Dan mentioned silicon carbide and again as the competitors. I was wondering why wouldn't you use your technology and those materials for even better performance I did catch.
Dr. Lon Bell: Yes and that would give better performance in some circumstances. And the advantage of the standard is that it uses available standard of metal oxide processing technology. So bipolar technology, standard CMOS technology are the technologies that go in to the B-TRAN and its driver and then and it offers apparently from all of our testing for love we've seen such advantage that it's definitely a product that quickness to market and utilizing mature processing can take advantage of. So it can carbide some of the other technologies we compound our risk and now it's not the time to do that.
Sameer Joshi: Understood, just to follow up on the R&D comment earlier, is most of thought and be spend on the B-TRAN program or is there anything else going on. And then how do you expect the TRAN to be in R&D going forward?
Dr. Lon Bell: I'm sure you R&D spend is still on the PPSA technology. Most of our team of personnel is on the PPSA side and most of that personnel is engineers. So we're still working on making a 30 kilowatt both the stability in the sundial plus the best products that they can be for a myriad of applications. So that is most of our spend B-TRAN spend is somewhat lumpy which is just kind of depends on the timing of production runs and what we're doing at the time. But overall that R&D number will probably tick up somewhat in general because of B-TRAN spending PPSA will be flat or even potentially slightly down on the PPSA side but the B-TRAN will spend will be up somewhat over time.
Sameer Joshi: Okay, so PPSA 30 kilowatt work is still going on. Okay
Dr. Lon Bell: That is correct.
Sameer Joshi: Thanks for that and thanks for taking my question.
Dr. Lon Bell: Thank you.
Operator: Ladies and gentlemen, this does concludes today's question and answer session. At this time, I'd like to turn the conference back to your speakers for any additional or closing remarks.
Dr. Lon Bell: Thank you very much. We are excited about, how about opportunities both for B-TRAN as we've talked about and the look we're seeing in our measurements in our laboratory work and we are excited about strategic prospects for our PPSA technology. These should unfold. We will keep our shareholders informed, as they do unfold and we think that over a reasonably short time will have decisions made and conclusions reach related to our strategic activities. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. We appreciate your participation.